
Executives: F. Michael Smith - VP Investor and Community Relations  Scott A. Edmonds - President, CEO, and Director  Charles J. Kleman - CFO and EVP, Finance  Michael J. Leedy - EVP and Chief Marketing Officer  Michele M. Cloutier - EVP and Chief Merchandising Officer 
Analysts: Lauren Levitan - Cowen and Company  Kimberly Greenberger - Citigroup  Adrienne Tennant - Friedman, Billings, Ramsey  Jennifer Black - Jennifer Black & Associates  Barbara Wyckoff - Buckingham Research  Lorraine Maikis - Merrill Lynch  Jeffrey Black - Lehman Brothers  Barbara Wyckoff - Buckingham Research  Marni Shapiro - The Retail Tracker  Margaret Mager - Goldman Sachs  Lizabeth Dunn - Thomas Weisel Partners  Robin Murchison - SunTrust Robinson Humphrey  Crystal Kallik - D. A. Davidson & Company  Neely Tamminga - Piper Jaffray  Dana Telsey - Telsey Advisory Group 
Operator: Good morning. My name is Dennis and I will be your conference operator today. At this time, I would like to welcome everyone to the Chico's Second Quarter Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions].  I will now turn the call over to Mr. Michael Smith, VP Investor and Community Relations. Please go ahead sir. 
F. Michael Smith - Vice President Investor and Community Relations: Welcome to Chico's second quarter 2007 earnings call. Today, we have with us Scott Edmonds, our President and CEO, and Charles Kleman, our CFO; who will discuss business. This will be followed by Q&A.  Prior to starting, let me read our Safe Harbor statement. Certain statements contained here and including without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the Company or future results or events constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements involve known or unknown risks including, but not limited to general economic and business conditions and conditions in the specialty retail industry. There can be no assurance that the actual future results, performance or achievements expressed or implied by such forward-looking statements will occur.  Users of forward-looking statements are encouraged to review the Company's latest annual report on Form 10-K, its filings on Form 10-Q, management's discussion and analysis in the Company's latest annual report to stockholders, the Company's filings on Form 8-K and other Federal Securities laws filings for a description of other important factors that may affect the Company's business, the results of operations, and financial condition. The Company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that projected results expressed or implied in such statements will not be realized.  I would now like to introduce you to Scott Edmonds, Scott Edmonds, our President and CEO. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Thank you Michael and thanks to everyone for attending our second quarter fiscal ‘07 conference call. With me on the call today are Charlie Kleman, our CFO and for Q&A Michele Cloutier, our Chief Merchandising Officer for Chico's and Michael Leedy our Chief Marketing Officer.  Net sales for the second quarter ended August 4, ‘07, increased 8.1% to $436 million from $403 million for the fiscal ’06 second quarter ending July 29, 2006. Income from continuing operations for the fiscal ‘07 second quarter was $39 million or $0.22 a diluted share compared to income from continuing operations of $54 million or $0.31 a diluted share in the prior year's second quarter. As previously reported, comp store sales decreased to 5.6% for the 13 week period ending August 4, 2007, compared to the comparable 13 week period last year ending August 5, 2006.  The Chico's brand same-store sales decreased by approximately 6% and the White House | Black Market brand same-store sales decreased by approximately 3%. Gross profit for the fiscal 2007 second quarter increased 3.2% to $252 million from $244 million in the prior year's first quarter. Gross profit as a percentage of sales for the current quarter was 57.7% compared to 60.4% in the prior year's second quarter. White House | Black Market's front line stores merchandise margins in the current quarter decreased by approximately 360 basis points compared to the prior year's second quarter. The margin decrease at White House | Black Market was attributable primarily to a higher markdown rate.  At the same time, the Chico's front line stores merchandise margins for the current quarter decreased by approximately 120 basis points, due primarily to a higher markdown rate and to a lesser extent from a slightly lower IMU or initial mark-up on new products to a lesser extent our overall gross margin was also impacted by the mix effect resulting from the White House | Black Market and Soma intimate sales continuing to become a larger portion of our Company's overall net sales, both of which operate with the lower gross margins with the gross margin experienced by the Chico's core brand, and by our continued investment in the product development and merchandising function for each of our three brands, knowing as Chico’s as pleased with our performance so far this year. This is a difficult time in our show that, but we continue to take action to improve our underlying performance while we compete within a difficult macro economic environment. We will continue to work hard to address expenses in the back half of 2007, and we will be extremely disciplined regarding our inventory management.  We have also implemented a more stringent capital allocation process with the higher bar for cash flows and return on invested capital. To that end, we are going to take a more conservative approach to our annual square footage growth for 2008 and 2009. We are now planning for square footage growth of approximately 12% to 15% for fiscal year 2008 and in the range of 10% for fiscal year 2009. These plans, however, will depend on the market conditions over the next 6 to 12 months.  We continue to take actions across the Company to improve our performance, even though, we continue to see year-over-year gains in the total number of active customers in each of our brand loyalty programs, we will be launching a test of our new loyalty program in the near future. Michael Leedy and his team has been the better part of 2007, conducting a program research to enhance our already outstanding customer loyalty program.  We have also been working on improving the visual presentation of all our brands. We recently completed our visual presentation test… excuse me… test project for the Chico’s core brand, which was received a positive response from our customers. Accordingly, we would intent to implant this new visual presentation in the group of key locations in the immediate future.  Since Michele Cloutier was promoted to Chief Merchandising Officer of Chico’s on March… in March 2007, she has been taking corrective measure to improve our product assortment. As we indicated on the last two conference calls, Michele’s impact will began to be seen in the third quarter. So far, she has been able to impact some of the merchandise in the third quarter more in the fourth quarter in all of 2008.  Regarding our core brand Chico second quarter performance, our product mix combined with our decision not to deliver a June catalog, resulted in poor performance for the Chico’s brand. Although, we positioned the sale postcard to anniversary the last year volume, it fail to deliver the sales of a full catalog presentation. This is in key higher priced fashion in novelty led to a suboptimal product mix dominated by lower priced wear-now merchandise. In addition, by distorting the casual side of our assortment, we fail to maximize our dressing product offerings, forcing our customer to shop elsewhere for her occasion dressing.  Despite these challenge we navigated through the quarter by effectively managing markdowns and drove successes in several key product key areas. Although, the macro economic issues have continued in August, we have found some success in our strategy to increase our bottoms business, and have seen some nice selling in our transitional and fall product, particularly in sweaters and outerwear. Even though the August results for Chico month-to-date are trending similar to the past few months, we are seeing the beginnings of a positive reaction to our first fall catalog, which just arrive in customer zones within the past week.  Our outlook on the balance of the season remains optimistic. We are seeing payback on our pants and denim investment, and we are on track to deliver increasing amounts of novelty and fashion. We have corrected our assortment imbalance and we will deliver many new product choices that we believe should satisfied both our customers casual and dressing needs. As a result of our continued optimism, we have decided to substantially increase our marketing spending in the second half of 2007 compared to the second half of 2006.  We believe this initiative will help to protect and enhance our market share and should also serve to highlight our fall and holiday offerings. As you were all aware, Donna Noce was named President of White House | Black Market effective August 8, 2007. The complexity of a business increases exponentially above 500 million in revenue, and although, we will take some time for Donna to get her arm around the business, we are confident in her ability to lead the White House | Black Market brand.  Regarding the recent second quarter performance of the White House | Black Market brand after struggling through the first quarter and identifying significant fashion misses, we chased the emerging trends into the second quarter. We over reacted to first quarter selling in certain categories and chased overly aggressive buys. As we built the inventory, the sales never materialized to our expectations, leading to over assortment and high inventory levels. Even with chased buys, we still did not maximize the most current fashion trends and wound up with duplication across silhouette, print, and categories. This left us with heavy markdown to clear in the month of July and August.  Coming off difficult second quarter, the House | Black Market business continues to struggle with product and merchandising challenges. The assortment did not transition well as we ended August, which resulted sluggish full price business. Fashion and newness is working, and the highest productivity. However, the investments are small and do not have the velocity to sustain and drive strong top line full price sales. As for the next steps in opportunities, the White House | Black Market team is quickly responding to emerging business and fashion trends and is currently reevaluating fourth quarter deliveries. We are also working on repositioning our investments in inventory to increase penetration of fashionable, brand-right merchandise and rebalance by category where appropriate.  Today the Soma Intimates business has front line locations and one outlet. Although, we are realizing improvement in the Soma Intimates business, we still have a lot of hard work ahead of us. On the first quarter earnings call, I had stated that we have usefully converted Soma Intimates to the SAP software. I also indicated that this conversion had a negative impact on the business in the first quarter. There was somewhat more than expected. The Soma Intimates team has since become proficient with the system and is gaining better understanding of how the SAP software can be used to more effectively manage into business.  We are planning several exciting product launches for Soma in second half of 2007 and we will be supporting these launches with additional marketing dollars. We expect to an improvement in the Soma Intimates brand in the second half of 2007. We continue to be very excited about the growth of our direct-to-consumer business, with second quarter revenue increases of 42% and Web traffic up 108% over the same period last year. We continue to take market share from our competitors through this channel. We will continue to fund this area of tremendous growth for all three of our brands through additional investments in technology, head count and added infrastructure.  Our CFO search is going well. We have two very solid candidates that are highly interested in joining our Company and I expect to finalize this very important search some time in the second half of 2007. In the meantime, I greatly appreciate Charlie's continuing commitment to Chico's and his support of the many initiatives we have underway to improve our company's performance. On August 24, Chico's FAS announced the appointment of John J. Mahoney to our Board of Directors. John is the Vice Chairman and Chief Financial Officer of Staples Inc. He has been with Staples since '96 and is also a former partner Ernst & Young. We are delighted to welcome John and his outstanding background and retail experience to our Board of Directors.  To summarize, we recognize our there are a multitude of challenges out there. However, our brand Chico's continues among the most productive specialty stores in America generating outstanding cash flows. The White House | Black Market brands revenue and profitability has shown improvement every year since we acquired the business in 2003. We maintain our confidence in the expansion of this brand as a significant contributor to our Company’s future growth and profitability. The Soma Intimates brand is improving everyday and once the customer discovers the brand, she is very loyal. When we look at action we have taken over the past year, the loyalty of our customers, the strength of our Board and executive team, the passion of our 14,500 Company associates our extremely impressive balance sheet and most importantly our three unique brands, we firmly believe we are in position to once again be the premier specialty retailer in America.  Now, I will turn it over to Charlie for the financial update. 
Charles J. Kleman - Chief Financial Officer and Executive Vice President, Finance: Thanks Scott, and good morning everyone. And welcome to our second quarter conference call for fiscal 2007. The second quarter of this year was certainly a challenge for most of the apparel industry and for Chico's, as well, as we continue our investment in larger stores, we continue our investment in improving store service and we adjust our mix of styles to a generally lower retail price point which was negatively… has been negatively affecting our same-store sales for most of the year. During this time, we have been focused on improving the newness and assortment of our fall product offerings, including an improvement in the average unit retail, and we are just now entering this exciting season.  As you can see from the press release, the quarter saw an overall mid single digit decline in same-store sales with a mid single digit decline for the Chico's brand and a low single digit decline at the White House | Black Market brand. The mid single digit decline in Chico's in same-store sales was in spite of a 10% plus decline in the average unit retail, although, low single digit decline at the White House | Black Market brand same-store sales was in spite of 7% plus percent decline in the average unit retail at that brand. I have bring all of this up to show that during the first half, we saw strong average store transaction levels at both brands and that helped us offset some of this decline in the average unit are retail. During August, we have seen some continuing declines in the average unit retail with the declines in the number of transactions in store as well. Thus, the continuing decline in the same-store sales results.  Looking to the future our receipt indicate that we should see improved, average unit retailers for the fall at the Chico’s brand and flattish average unit retailers for White House | Black Market this fall, subject to improve markdowns year-over-year at both brands.  Turning to inventories. Our inventories are again somewhat below plan at the end of the quarter as we pursue a more conservative open to buy and we aggressively cleared our spring and summer products through June and July. With that said, we are pleased in the second quarter with a relatively clean inventory at $58 per square foot versus last year’s $68 per foot. Year-over-year, inventories are up about 11% and about 12% sales increase for the first six months. We expect to see inventories first increasing from the $58 per foot as we moved through fall, although, they are again likely to be down on the per square foot basis at the end of the third quarter. The large store opening program in last year’s October and November timeframe, distorted our inventory per foot last year at the end of the third quarter, as we ended up at a $77 per foot level, principally to support the new and relocated store programs. Inventory levels at the end of the third quarter are traditionally are highest, but generally that is likely to be in the high 60s or low 70s per foot and that’s what we expect at this year.  From this discussion on inventories, let’s move to gross margins next. As the press release indicates, the Chico’s and White House | Black Market brands both experienced declines in their merchandised margins with White House | Black Market down by 360 basis points and Chico’s up by 120 basis points. White House | Black Market, as we mentioned last quarter was up against its highest ever merchandised margin with last year’s record second quarter merchandised margins. During the second quarter this year, we experienced higher than planned markdowns due to the sales softness throughout the quarter and put question on June and July margins at both White House | Black Market and Chico’s. Chico’s brand was also up against new record merchandised margins last year and through conservative buying we managed to keep inventory clean with only a 120 basis points decline in merchandised margins for the quarter in spite of the softness in sales beyond our expectations.  Looking in the third quarter, we expect merchandise margins to be slightly down or in the range of last years merchandised margins for each of the brands assuming, we see a turnaround in the comp to slightly positive. Remember, though, that even with all three brands in the range of last year’s merchandise margins, we would still expect to see overall decline in gross margins, largely due to the mix effect, we discussed in many previous quarters as the White House | Black Market and Soma front line stores continue to gain share in the overall sales.  As you can see from the press release, White House | Black Market is now 25% of the overall pie of sales versus approximately 22% in last year’s second quarter. Other items affecting the 57.7% overall financial gross margin includes continuing investment in our product development and merchandising departments as a percent of sales, as we are intent on getting back to leading the missy sector in product innovation. The investment in this area, principally in headcount and depreciation of the SAP software investment increase the overall gross margin by about 40 basis points for the quarter and we anticipate this will continue at least at this level for the rest of this fiscal year.  Turing to SG&A we kept our marketing expense relatively the same as a percentage of sales, while we saw de-leveraging both the stores and shared services cost areas. Scott's already discussed our intent to increase our marketing efforts for the back half of the year, so I won’t spend much time on this area. On the store front the de-leverage we saw in the second quarter is essentially the same story as in the first quarter, although larger decline of same-store sales in the second quarter aggravated the de-leveraged somewhat more that we experienced in the first quarter.  At the end of the first quarter, we indicated that the stores de-leverage was principally due to the larger stores and the investment stores service. As we anticipated that has continued into the second quarter. We expect to continue to experienced de-leveraging the third quarter due to the larger size stores, although we believe this will lessen as we ended the fourth quarter where we anniversary the large number of stores opened at last year’s third and fourth quarters. Regarding the investments in service levels this October, we will anniversary the initial increase in store payroll we implemented to address service level in last’s year third quarter and we expect this area should become less of a drag on SG&A in both the third and fourth quarters. Speaking to the numbers in the occupancy and payroll areas for the quarter, we saw de-leverage in the occupant’s area by almost 200 basis points as well as de-leverage in the store payroll area by about 130 basis points.  Lastly, the shared services area showed 100 basis points de-leverage principally revolving around relocation and recruitment costs associated with our extensive hiring in the merchandise, product, direct-to-consumer, marketing support, and MIS areas. For future expectations, we expect moderating de-leverage in both store operating expenses and shared services costs for the third quarter with even more moderation and even leverage of these costs in the fourth quarter depending on our same-store sales results.  Regarding store openings, we have opened a net number of 48 new stores excluding the 10 Fitigues closures during the first half of the year. These openings include 19 net new White House | Black Market stores, 17 net new Chico's stores, and 12 net new Soma Intimate stores. Beyond that, we have expanded or relocated 29 additional stores during the first six months.  Rest of the year shakes out with approximately 55 to 60 or so net new store openings in the third quarter, and 25 to 30 net new stores in the fourth quarter, along with another 20 to 25 relos [ph] and expansions that are weighted toward the third quarter. This should leave us with for the year with 55 to 60 net new Chico's stores, 55 to 60 net new White House | Black Market stores, and approximately 18 Soma Intimates stores for a total of 130 to 140 net new stores for fiscal 2007 with just north of about 50 relos and expansions.  During the quarter, we also sold a 105 acres of land originally acquired for a new corporate headquarters for a small gain, and subsequent to the end of the second quarter, we realized a roughly $0.02 non-operating income gain from the sale of our Lucy investment to VF Corp. As this point, we are no longer associated with the Lucy chain.  To wrap up, we have closed a challenging second quarter and we look forward to the fall selling seasons and the new opportunities it brings. Our store opening program is on track. We are focused on improving our sales results of our core brands, improving our overall profitability, and improving our return on invested capital. We continue to build stronger and more innovative merchandising, marketing, and direct-to-consumer teams to improve our newness and innovation in the merchandising… in the merchandising arena and improve our branding to the customer.  Thanks for being with us in the second quarter fiscal 2007 conference call and now we will take some questions. Operator?  Question and Answer 
Operator: [Operator Instructions].  Your first question will come from the line of Lauren Levitan with Cowen and Company. 
Lauren Levitan - Cowen and Company: Thanks. Good morning. Scott, I was hoping you could give us a little bit more color on your thoughts on the higher hurdle rates and higher return on invested capital rates that you are looking for? And if you could apply that to where the square footage cuts are being contemplated? How should we think about the balance of that square footage growth in ‘08 and ‘09 across the different brands particularly as it looks as though the incremental square footage this year has been substantially less productive? So, any additional thoughts on that in terms of new verse expanded where you are getting the best return would be very helpful. As then a follow-up I am wondering on the marketing if you are more focused on acquiring new customers or if you are going to be deploying those incremental marketing dollars to go back to the passport members and black book members and really try and reengage them and increase their share of wallet? Thanks. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Lauren, it is obvious that the new store productivity is down and that is one of the reasons why we feel like we really have to take a stronger look at ROIC where we allocate dollars by brand, by new store, expansion, relocation. But the slowdown in ‘09 or the reduction in the percentage of growth on a square footage basis really only cuts out 30 to 50 units. We still will be opening a great number of stores, which in my opinion is an attack on additional market share. As far as the breakout by brand, we haven't determined exactly what the impact on the slowdown is going to be in ‘09 by brand. But we are looking relevant to the ROIC comment it is obvious where our ROIC has gone over the last several years where three to five years ago when we were a single brand, we absolutely were in the textbooks at the universities it was so high, and everything we have done has sort of diluted that.  And so, we have really got to spend more time I think as an organization trying to make that turn and that's relevant to everything we do not just real estate. I mean where we deploy our dollars whether it is SAP, shopper track, real estate, stores, expansions, relos, HQ expansion, every initiative, I think we need to do a much better job in scrubbing the return. And it is across the board not just on the real estate, Michael do you want to hit the… 
Michael J. Leedy - Executive Vice President and Chief Marketing Officer: Sure. Lauren, hi. It’s Michael Leedy. To answer your question about the increased marketing spend both we want to acquire new customers and we also want to passport customers to engage more with the brand. 
Lauren Levitan - Cowen and Company: Can you give us a sense of how that will manifest itself? And then follow-up for you, Scott. Is there a component of the investments of the last twelve to eighteen months that looking back have been the biggest drag on those returns whether it is relos or expansions or a certain type of investment that you would identify as being more problematic? 
Michael J. Leedy - Executive Vice President and Chief Marketing Officer: Lauren, hey, it is Michael. I am going to answer your marketing follow up question first. I can't really get into the details of how the marketing program is going to manifest itself. But again both passport customers and new customers are important to us, and we are in a pretty competitive environment. We have some competitors that we know are out outspending us. And from our own research and research that has been done independently, we know that from an overall brand awareness we have some gains we need to make. That's what we are focused on. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Lauren, I can take the question regarding the last year and where we have seen declines in the profitability. And we saw initially the Chico's brand as it slowed down the new stores slowed down faster than the existing stores, and we have recently seen the same is holding true at White House | Black Market. And this is a function of where we are with our product, where we are with our traffic, where we are with the macroeconomics. We see it as a short-term trend. We don't think the size of the stores is necessarily wrong at this point. But certainly, that has aggravated the problem. As you keep opening larger stores and the sales are slowing that certainly aggravates the problem. So, we are reassessing that. But I don't think there is any major change going on right now to that because the size of the store is more of a long-term investment where we need to get petites or we need to get other brand extensions into the stores. And we haven't got there yet with that, because we have been working on just getting the sales back to where they should be. We will get to that. 
Lauren Levitan - Cowen and Company: Okay. Thank you and good luck. 
Operator: Your next question will come from the line of Kimberly Greenberger with Citigroup. 
Kimberly Greenberger - Citigroup: Hi, thanks. Good morning. Scott, you commented in the press release that you believe you have got exciting new product offerings this fall. I am wondering if you can talk to us a little about what is giving you confidence that the merchandise in heading in the right direction. And any sort of color directionally on merchandising would be helpful. And then secondarily, you mentioned that in the second quarter June in particular you guys made the decision not to send out a catalog instead replacing over a postcard. There have been a number of cases over the last 12 months where there have been adjustments to the historical marketing planned that have not panned out. How are you thinking about tweaking this marketing program going forward? And is it… should we expect additional adjustments with the potential for bumps in the road as we go through the next 12 to 18 months? Thanks. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Kimberly, before I flip it over to Michele who is on the call with us I am not sure you were aware of that. I will tell you that as far as the marketing approach goes just want to be very… not trying to avoid the question by any stretch of the imagination just want to be very careful with what we say about what we are going to do with our marketing. Obviously, we are not dropping the June catalog was just a bad decision we as an executive team made. We just didn't feel like the merchandise warranted the spend at the time to tell you the truth. And so, I don't want to get into detail about where we are going to drive additional traffic. How we are going to get… acquire new customers. But regarding what's driving some of the optimism about the fall and the holiday season, which leads us to want to spend more money driving traffic, I am going to flip that over to Michele and let her speak a little bit with not too much detail about some of the merchandise that is I guess driving our excitement if you will. Michele? 
Michele M. Cloutier - Executive Vice President and Chief Merchandising Officer: Hi, Kimberly. Why are we excited? Really the good… the first fall good landed in stores approximately two weeks ago with the mailer dropping just last week, when new goods landed we saw some very strong performance in key categories. And I am to remain somewhat guarded as… I don’t want to get into a lot of detail, but I will give you some headlines around what we are seeing. And Scott mentioned in the press release sweaters, denim and outerwear have been very, very strong performers. In addition this mailer and the product in this mailer have also given us very strong indications of her response sort to the new product.  I feel very optimistic going into September. We had a lot of opportunities that we learnt from the first half of this year, primarily in the mix and the balance of the assortment that we have addressed for September. One of the other critical factors that we learnt from the first half was the penetration of fashion and novelty, where we saw a strong performance in the second quarter, which we have gone after. And finally, in the AUR mix, by mid-September we will flat on an AUR year-over-year, which had been critical to the future success. All in all, again, we remained very optimistic September; it’s going to be a big month for us. We certainly still have work ahead of us, but really seeing some promising information. 
Kimberly Greenberger - Citigroup: Great, thanks Michele. Scott just a follow-up on your comments regarding marketing, certainly not looking for a roadmap here over the next 12 to 18 months. Is just that every…. occasionally we pickup a press release and get surprised, and several times negatively that you have made an adjustment by canceling a piece of the marketing program, it led to a large down draft in a sales line and I am just wondering why wouldn’t has any sort of adjustments before you would run the risk of really disrupting your, your sales trends before engaging in a sort of… in a more broad sweeping change of those marketing plans? 
Scott A. Edmonds - President, Chief Executive Officer, and Director: And that’s a very fair question, so Kimberly just for the record, the only things that happens we changed our plans once that’s the postcard. So we had a mailer a year ago, we moved to a sale postcard. Aside from that, we really have been anniversarying the marketing plan from the year ago and we are going to continue to. Everything that we do or we are planning to do in the second half of the year is going to be additive. And again, it’s going to be focused on acquiring new customers and reengaging our passport customers in a stronger way.  So, testing is a big part of what we do, and we are going to continue to test everything before we move to it. The postcard was a decision that we made based on actually testing, and testing doesn’t always bear out when you actually rollout to it. And we thought that from an inventory standpoint, it was a better decision to go with a postcard than the full mailer. We didn’t really feel like we could support a full mailer in that time period. And we learnt from it and that’s part of the process, you learn, you adjust and hopefully don’t make those mistakes on a go forward. 
Kimberly Greenberger - Citigroup: That’s very helpful Michael. I just… the reason I think I had other events in mind is that last year in August, if I recall you also canceled a postcard, you actually sent out the catalog, you canceled the postcard and if I remember properly, it was either week two or three of August, the comp in that week were down, something like 10% to 13% because of the decision to cancel it. So that really pulled down your month last year in August as well. So, this was at least a second time then I can recall that, something that was done in the prior year wasn't anniversaried and then there was a surprise on the impact on sales. So that was the basis for my question, that your explanation was very helpful. Thank you. 
Operator: Your next question will come from the line of Adrienne Tennant of Friedman, Billings, Ramsey. 
Adrienne Tennant - Friedman, Billings, Ramsey: Good morning. A question on the inventories. I was wondering if you could actually help us out by division at the end of the quarter, where we were with inventory. And then Charlie on the SG&A, sounds like the marketing plans are going up significantly, but you will start the anniversary some of these increases over last year. So, how should we think about that is the marketing going to eat up kind of the savings that you would have had as you anniversary the payroll bumps? And then where should we be thinking about kind of a breakeven comp for the back half of the year? Thank you. 
Charles J. Kleman - Chief Financial Officer, Executive Vice President, Finance: Well, first on… we don’t give the inventory by brands. We never add, we really don’t want to go that route to start giving that kind of information out. I think there no significant deviation by any of the brands, though I can say that. I think they were all in the same range but now, on the marketing, that’s kind of dependant for marketing is effective; it’s going to leverage itself, there is no doubt that and that’s what we intend to. We have already commented on what’s going to happen with the shares service cost and with the store cost and we are not at this point going to get into a breakeven as to way that is because that’s confirm that confident to a whole lot of other factors. 
Adrienne Tennant - Friedman, Billings, Ramsey: Okay. And then lastly, when you are… as you slowly kind of comp expense on new stores into the next couple of years, what is your kind of the management in the board’s philosophy on kind of repurchase authorization? 
Scott A. Edmonds - President, Chief Executive Officer and Director: As part of just an ongoing part of the run in the business and meeting with the Board, there is not a Board meeting that comes up, we don’t have that discussion. 
Adrienne Tennant - Friedman, Billings, Ramsey: Okay. All right. Great. Thank you. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Thank you. 
Operator: Your next question will come from the line of Jennifer Black with Jennifer Black & Associates. 
Jennifer Black - Jennifer Black & Associates: Good morning. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Good morning. 
Jennifer Black - Jennifer Black & Associates: I have got two questions. And the first question would be for Scott or for Michele, I wondered if you can talk about how Michele’s did for flow into the store and in other words, we will receive 30% to 40% by Thanksgiving? Is it that much, or some kind of quantification? And then, I am assuming there will be a correlation with her goods and your advertising? Thank you. 
Scott A. Edmonds - President, Chief Executive Officer and Director: It’s hard to put a math on formula to it. When she was fortunate enough to land that’s role in March of ’07 and she really started turn the business inside out, trying to review everything she possibly could affect Q3 as much as she could, Q4 as much as she could and her full watch is certainly ’08, but as we said Jennifer, the deeper we get into the back half, the more influence she has had over the merchandise and as far as 30%, 40% in Q3, 78% in Q4, we have never really taken off line item approach like that. 
Jennifer Black - Jennifer Black & Associates: Okay. So, there is… so by Q4, you can’t give any quantification at all not even a work something work, like half or--? 
Charles J. Kleman - Chief Financial Officer, Executive Vice President, Finance: I mean we could just throw a number out there right now but we have really never put in the paper to pencil on every item that flowing through the stores, but holiday is certainly influenced a lot heavier than Q3. 
Jennifer Black - Jennifer Black & Associates: Okay. And then Scott, this is more of a macro effect and I wondered if you believe there is a fundamental change in the way the boomer shop, looking at last holiday and the July, August timeframe, could it be that the boomer is spending more time with families, vacation and September is what she goes to shop, I wondered what you give Michele thought on that? 
Scott A. Edmonds - President, Chief Executive Officer and Director: I don’t think that I have seen anything or we have seen anything that would indicate that her shopping patterns by season have changed. But I will tell you what we do think is that the psycho-graphically, the customers is changed and a 50 year old today is a look for the same merchandise of 50 year olds is looking for 24 months ago and 36 months ago. And I think that’s one of the reason why we shopped for negative comp a year ago is that we didn’t keep our footwear, she was gone in a month. And I think, as you see our product on rollout over the next six months to 12 months, I think you are going to see what we believe the 50 year old is looking for today versus what if you pull our catalogue from 24 months, 36 months ago. I was thinking about a driver and what this morning Jennifer, we went through a very similar period 94-95 where we really had to retool the merchandise and that’s what put us on a nine year run and its just hauntingly familiar right now the process that we are going through and getting our merchandise back on track. So, I think it’s more about what she is thinking between a year or versus once she is actually shop. 
Jennifer Black - Jennifer Black & Associates: Thanks a lot and good luck. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Thank you. 
Operator: Your next question will come from the line of Barbara Wyckoff with the Buckingham Research. 
Barbara Wyckoff - Buckingham Research: Hi everyone. A couple of questions. Michele, as you come around to your first anniversary, have you changed or how have you changed your thoughts about what’s needed to fix the core Chico’s versus the initial impressions, could you elaborate on that? And then I have another question. 
Michele M. Cloutier - Executive Vice President, Chief Merchandising Officer: Okay. So, what am I… my initial impressions of the brand and the opportunities remain the same. The core DNA of the brand remain the same as what put this brand on the map. For me it’s more about being as closely connected to the customer as this brand was in its past and really understanding the needs of today. So, that part has clearly evolving as we are seeing the response to product, there is some really strong under currents to the business indicating the direction we are going is the right one. Other opportunities that I have seen as I approach my year anniversary is Charlie mentioned it in the investment in talent and merchandising and product, absolutely critical to the success of our future. We certainly made strives on it, already since I have been here, but there are a lot of opportunity in critical talent as well as develop existing talent to really support our growth opportunities. Other than that the way we do business has to evolve. We are a highly, highly complex business, regionally size of stores, demographics, all of it really requiring us to change the way we do the work here. And in that piece that we are currently underway and are moving that forward as well. 
Barbara Wyckoff - Buckingham Research: How are the new systems helping you or are the new systems helping you manage some of those complexities? 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Barbara the new systems have really been across the Soma initiative, as well as we have done all the implementation, the integration of the financials on SAP. We have written an interface with the PKMS in the distribution centers. All of that has been done for the corporation, but as far as the tools themselves, they have only rolled out to the Soma brands. So, she is working with the same software tools that she… that she has been working with, yes. 
Barbara Wyckoff - Buckingham Research: Okay. So that’s my next question. Is… what is the implementation for SAP? For Chico’s in White House and what are you going to do to avoid some of the problems you have experienced and Soma was sort of the transition time? 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Yes. What we are trying to do is, we are certainly not going to integrate both brands into the SAP software at the same time. We have to determine exactly which brand will go first whether it’s going to be White House or Chico’s. But the first brand will integrate mid to back end of next year, and the second brand maybe as late as spring of ’09. 
Barbara Wyckoff - Buckingham Research: Okay. 
Charles J. Kleman - Chief Financial Officer, Executive Vice President, Finance: And we have learned from what happened with Soma, we have… we now have very dedicated people for both brands that are working solely on this. We did not do that with Soma and that was probably the only… 
Scott A. Edmonds - President, Chief Executive Officer, Director: And I certainly want to de-mystify something about that SAP investing project. I know that there is some SAP projects out there that are under a lot of scrutiny and we all know where they are. We are backing up the integration date of these brands is not about problems in the process, it’s just the opposite. We want to make sure that we take our time; so that we don’t have the problems which is why we have pushed one brand to mid to late next year. And we also want to make the timing around in between those strong spring selling season and the fall holiday season. So, we were really looking at the timing and as we push the integrations out it’s to mitigate issues, it’s not because of issues. 
Barbara Wyckoff - Buckingham Research: Okay. Thanks. 
Scott A. Edmonds - President, Chief Executive Officer, Director: Thank you. 
Operator: Your next question will come from the line of Marni Shapiro with The Retail Tracker. 
Marni Shapiro - The Retail Tracker: Hey guys. A couple of quick questions. First is on housekeeping, the AUR declines that you saw in the second quarter, is that driven primarily by markdowns, or was it also a product mix? And if it was marked down is that why we can expect to see it flatten out and reverse in the third quarter? And then the other question; could you just talk quickly about White House and Soma over time whether it’s 18 months, 36 months or further out than that. Do you see its possible for White House and Soma to achieve the same return and capital that you’ve seen at Chico’s given that particularly for White House during the much more competitive space. And then at Soma, I guess, it’s sort of a bigger picture question; because there is more… it appears to be there is more of a backend investment for the product at Soma for fit and product development. So, if you could just sort of address that issue there. 
Michele M. Cloutier - Executive Vice President and Chief Merchandising Officer: Well, I will take it for you. It’s Michele. I am going to take up the AUR question first. It’s really two fold. It is, as you stated a reflective of a more promotional cadence than anticipated that is part of it. But the other part of it in the Chico’s brand is really reflective of the lower pricing opportunities that we saw in key categories like Ts and denim a year ago. So, we are coming up on anniversarying that this fall. So, it’s really the mix of the two that really drops the AUR. So, a less promotional cadence and a higher… a different mix of inventory, is going to allows us to get flat year-over-year as we enter September. 
Charles J. Kleman - Chief Financial Officer and Executive Vice President, Finance: And I don’t think White House side, it’s got to Soma side. The White House side has been gaining ground since we bought them other than the bump on the road that we have experienced now. So, over the longer term, I don’t know if I can set 18 months to what sort of time. But over the longer term White House should certainly come much closer to the Chico’s line than it’s had in the past. But that’s over the longer term. Soma, I will let Scott speak to that. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Given that the one copy out on the White House comment Charlie is that I am not so sure that the Chico’s ROIC wasn’t inflated because we were not putting enough money back into the resources and that’s something I have been highly sensitive to over the last couple of years. Regarding the Soma discussion, Marni, the only real model… public model we have out there is VF’s and they are so big. It’s hard to determine where incrementally they were… what type of ROIC they were able to achieve over time, incrementally. We are doing as much recon as we can with the people that we know that have worked with VF’s, the people that are on our Board of Directors and things like that. As far as, having Soma achieve the same type of ROIC of Chico’s, we never thought it could be that hot. 
Marni Shapiro - The Retail Tracker: Okay. Thank you. And just one quick follow-up on Lucy. I know the timing at the moment is not opportune with what’s going on at your corporate business but should opportunities like that arise in the future? Would you guys entertain alternative investments like that? 
Scott A. Edmonds - President, Chief Executive Officer and Director: Yes, pending Board approval. 
Marni Shapiro - The Retail Tracker: Great. Thank you guys. Good luck for the fall. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Thank you. 
Operator: Your next question will come from the line of Margaret Mager with Goldman Sachs 
Margaret Mager - Goldman Sachs: Hi. Could you talk about the changes that White House and why… what is it that needed as far as skills on a go forward basis at White House. You made it clear that you think the skill set is different for 0-500 versus 500 to a billion so if you could describe that for me that would be great. And do you anticipate any other changes that will need to be made at White House? And how long will it take to get that business where it needs to be in terms of moving up again? Thanks. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Margaret the… Patricia was basically a Co-founder along with Rick Sarmiento as Rick started the business and two stores later Patricia joined the business. So, I commonly refer to her as a Co-founder. And just like the Graunix [ph], I mean, I think she is an incredible visionary, highly entrepreneurial and delivered outstanding results for the business to a certain point. Michele spoke about… was answering a question earlier about, anniversarying in your first year, what’s your view point now versus then. As she spoke a lot about complexity of how we did business, the process that has to be implemented and a lot of things along those lines. It’s the same story at the White House | Black Market.  As you surpass the $0.5 billion mark, I think the complexity of your business when you start looking at stores regionally, sourcing initiatives around the world, a lot of things, processes, product life cycle management processes that have to be put in place. It’s just… it’s a different game and Donna has a lot of that scar tissue coming out of Ann Taylor. And we expect her to utilize that here at the corporation. So, it’s just a different… it’s sort of a different ball game at this stage of the business today with all due respect to everything that Patricia delivered for us. What was the back half of the question? 
Margaret Mager - Goldman Sachs: Any other changes and--? 
Scott A. Edmonds - President, Chief Executive Officer and Director: Any other changes. Well, I mean, when you have a new leader come in to an organization not unlike I guess I what just read this morning with Byron leaving Gap… I am going to let you solve that Michele. Donna’s being charging the business and she is got to get her arms around the business, the talent and everything there. And while we don’t see anything in the immediate future, it’s her call. 
Margaret Mager - Goldman Sachs: Okay. Thanks, thanks Scott. Good luck and we will see you next week at the conference. Bye. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Yes, see you. 
Operator: Your next question will come from the line of Lorraine Maikis with Merrill Lynch. 
Lorraine Maikis - Merrill Lynch: Thank you. Good morning. You mentioned a macro environment a few times during the call. Does your research show that your customer has in fact cut back on spending or do you think she is going somewhere else? 
Michael J. Leedy - Executive Vice President and Chief Marketing Officer: We had… its Michael Leedy. We haven’t seen that in our research. I think we are drawing that conclusion from really what we are seeing just in the environment in general. With what’s happening economically with the country. So, that’s where we are pulling that from but we have not seen that in our research. 
Lorraine Maikis - Merrill Lynch: Did you think that the baby boomers in fact, cutting back on spending? And do you have any regional differences in your comps that may show housing market Impact? 
Charles J. Kleman - Chief Financial Officer, and Executive Vice President Finance: Certainly seen in the West Coast and the South West are down and down significantly. And they have been driving it as you know some of our best stores are in the South West. And they have been down for quite some time now. We have seen ups and downs in Florida, in that area. There has been some months up and some months down and certainly the economy is ravaging Florida, as we know. And we have seen the North East just been chugging along, so I think our differences regionally have been a lot like, what you expect to see from what you read around the country, but I don’t think we have seen anything new in that arena. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: The 20% of our store base is in the State of Florida and California, two of the hardest hit states in the country regarding foreclosures. 
Charles J. Kleman - Chief Financial Officer, and Executive Vice President Finance: Operator, next question. 
Operator: Next question will come from the line of Jeff Black with Lehman Brothers. 
Jeffrey Black - Lehman Brothers: Yes, Scott. Just a more high-level question. You listen to your prepared comments and we have to wonder what world you are living in. You are increasing marketing spend; you are building inventory on a thin read on comps so far. You think Soma is going to turnaround in the second half. I mean, how do you respond to what would be our assertion that you are just managing this business too aggressively at this point. And what takes you to a place, to stop some of the growth? What gets us to stop growth at White House for a while, slow down growth at Soma et cetera? Thanks. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Sure, good question Jeff. I would disagree with your assertion that we are managing geographically and what would cause us to really slowdown is that we started to, really big into our cash if we really started to see our earnings get down to where, like Talbot is. We still had a 13% operating margin. We are still making a lot of money and we are not going to give up market share and slowdown our growth initiatives until we see a more dire situation. 
Jeffrey Black - Lehman Brothers: Let’s say comp, where they are in 3Q right now. I mean at that point do you look at yourself and you say, we are going too fast and we need to make some more serious adjustments here? 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Perhaps, but that’s a little over my headlights right now and I have to see, you say comps store are where they are six months from now. What do we do? There are a lot of things going on inside the business that you are not aware of, the costs savings that we are trying to achieve or share services, some of the spending cuts that we are… initiatives that we are taking. So we are just not going to cut into the muscle right now. We made almost $40 million in 13 weeks. We have got a tremendous balance sheet and we got three great brands. We are just not going to over react to the situation right now. 
Jeffrey Black - Lehman Brothers: Okay. Fair enough. We wish you the best of luck, really. 
Operator: Your next question will come from the line of Liz Dunn with Thomas Weisel Partners 
Lizabeth Dunn - Thomas Weisel Partners: Thank you. Good Morning. Two questions. My first question, the entire women… your mature women’s segment is really struggling right now. You mentioned the macros. It’s obvious that your performance is sort of in line with peers. Yet you have made a number of changes in management, in marketing, footage growth. Really there has been a number of wholesale changes in the company. Do you think that the changes that you are making could be aggravating your negative sales and earnings trends or do you think they are helping? Can you provide some context there?  And my second question is sort of a bigger picture question. I mean if we think about the advent of women in the workplace, it really opened up a marketing opportunity for many companies such as Chico’s to target that women because she will taking a more visible role in society, so she would be buying more clothes. Now that the boomer women your customer is really facing retirement, how do you think about her need, her wardrobe needs? Thank you. 
Scott A. Edmonds - President, Chief Executive Officer and Director: The second half of the question. We haven’t seen a big change with the back end of that question. And as far as all the changes that we have made, I guess I will have to use the first person, I have made, the CEO of the Company over the last year. Each move that’s been made… I have made, I have seen it part of the solution not as part of the problem. There is not one change that I can look back on from an executive leadership in the last 12 months that I would change. 
Lizabeth Dunn - Thomas Weisel Partners: Okay. Thank you. Good Luck. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Thanks. 
Operator: Your next question will come from the line of Robin Murchison with SunTrust. 
Robin Murchison - SunTrust Robinson Humphrey: Hi. Thanks very much. Good morning, wanted to ask you if you… in terms of changing for the women, for Chico in the foreseeable future. I mean, I was talking about a modern boomer and you got to talking about changing the assortment. She’s changed psycho-graphically. I am wondering if you are foreseeing any change in the women’s fit or how that might come about. Is this woman in fact, taking better care of herself and she doesn’t need to be covered up as much. Michele, it’s probably for you. 
Michele M. Cloutier - Executive Vice President, Chief Merchandising Officer: In terms of fit, we are not seeing any real change or anticipating any real change to our current fit. The target remains the same, the opportunity that you will see to expand on are women in this area that have different body types and different needs. So, you are going to see as for example, in bottoms taking approach to really sizing alternative fits and the single focus we have had historically. But overall, the general fit of our brand is not changing currently. 
Robin Murchison - SunTrust Robinson Humphrey: And just also, you had mentioned sweaters and outer wear were mentioned as positive response categories in the new catalog. Is that in just certain geographical regions, it’s certainly in the Southeast. It’s been extremely hot, are you getting good reads there? 
Michele M. Cloutier - Executive Vice President, Chief Merchandising Officer: We are getting good reads across the country. 
Robin Murchison - SunTrust Robinson Humphrey: And do you carry on dialogues with the customer to help you sort of define this future course? 
Michael J. Leedy - Executive Vice President and Chief Marketing Officer: It’s Michael Leedy. Yes, we definitely do, not only are we doing research but we have a dialogue with the customer, particularly on fits and bottoms but you have to remember, we have an incredible team effort in the field that has a great one-on-one relationship with the clientele, so we get a constant sea of information daily. 
Robin Murchison - SunTrust Robinson Humphrey: Great. And then, just one last one if I can. What if another Florida based company Indicated recently that their same-store sales trend in Florida were three times as bad as the chain in total. Wondering if you are seeing a similar trend? 
Scott A. Edmonds - President, Chief Executive Officer and Director: Robin, we are not seeing that trend and the way I have answered that too on. Internally is I just think the customer is not spending as much money down here as she would but she is still spending down there but we are not seeing any type of trend like that but I do believe that if you didn’t see the housing situation down here the way it is that we would see stronger results in Florida but they are not that dramatically different. 
Charles J. Kleman - Chief Financial Officer, Executive Vice President, Finance: Yes, until this housing trends started, Florida was leading the nation most of the time. Now, they are sort of even with the nation there, certainly not down anywhere as near even twice as much as the rest of the nation. Florida’s not as bad from our perspective as we are hearing it is. 
Scott A. Edmonds - President, Chief Executive Officer and Director: And interestingly enough I just read in the paper yesterday that the international airport here has had 13 straight months of record traffic, so they are still coming down. 
Robin Murchison - SunTrust Robinson Humphrey: Good Luck guys. Thank you very much. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Thank you. 
Operator: Your next question will come from the line of Crystal Kallik with D. A. Davidson 
Crystal Kallik - D. A. Davidson & Company: Good morning. I was hoping you could talk to working aggressively on managing the inventory. What new parameters in your systems do you have in place to really help you manage that inventory control going on in the second half And what’s coming down the road as far as inventory control? 
Scott A. Edmonds - President, Chief Executive Officer and Director: We do not have any new software at all, at any brand other than the summer brand which is SAP. A disciplined inventory approach is led by each of the chief merchants over the brands, obviously, Michele, Donna and Terri Meichner at Soma. It’s really just for, as for maneuvering through this period of time, we just want to be very diligent. If she doesn’t like it we want to get out of it. And we must be cautious about our inventory planning based on current trends but there is no new software in place today relevant to our last several years other than in Soma. 
Crystal Kallik - D. A. Davidson & Company: Okay. So, it sounds like then when SAP rolls out later next year and in ’09 that would be the next major implementation as far as a change in processes for managing? 
Scott A. Edmonds - President, Chief Executive Officer and Director: Correct. 
Crystal Lanigan Kallik - D. A. Davidson & Company: Okay, okay, great. And then could you also just talk about expense control going on beyond head count? 
Scott A. Edmonds - President, Chief Executive Officer and Director: It’s across the Board; it’s everything from store supplies to freight to travel. There is nothing that we are not looking at. 
Crystal Lanigan Kallik - D. A. Davidson & Company: Thanks very much and good luck. 
Scott A. Edmonds - President, Chief Executive Officer and Director: Across the board. 
Operator: Your next question will come from the line Neely Tamminga with Piper Jaffray. 
Neely Tamminga - Piper Jaffray: Good morning. I was wondering if Michele could talk to us a little bit more about the changes in merchandize as you are looking at the whole assortment for fall next year as well as the fourth quarter. Are you rebalancing the assortment do you think that the assortment is out of whack in terms of its… the box, bottoms, tops, or is it the product offering itself of color silhouette, patterns? Is it that we are lacking some innovation in categories overall you have been adding that back into the space? And then following up on an earlier question as I am hearing Scott talked about psycho-graphic changes. I mean I don’t think she’s psycho-graphically putting herself older. She’s probably putting herself younger which would in fact maybe call for you guys to improve your technical… not improve your technical fit, but your fit attribute adding more tailored fit, would be more sizes per style and more inventory investment. Can you just help us walk through exactly paring what Scott was saying with what you are doing and how we should be looking at some of these changes in the assortment? 
Michele M. Cloutier - Executive Vice President and Chief Merchandising Officer: Okay. So, that’s a… that’s a mouthful. But let me start at the top and sort of address a couple of things. So, under many the things you listed, primarily mix and balance and that really for me goes to… coming out of the first half we were skewed so casually we left a lot of business in my opinion on the table and the whole dressy/occasion piece of the business. So, as we got into fall, primarily September, you are going to see that balance be corrected where we are really addressing all parts of her closet. That was the first issue. The other issue is that as we grew categories like T’s at lower AUR, and again, dropped the dressy part of the business we threw the AUR mix out. So, those are being corrected. Innovation I have been talking about since I came to this brand. The biggest call out before I got here and as I got here was that we didn’t move the brand forward enough fast enough. So, innovation is top of my list in many, many categories. So, my third point would be really around there are categories of business that were under penetrated and really were great growth opportunities. Then there is categories of business that have been very strong performers for this brand that need to be reinvigorated and moved forward. And then there is opportunities that we are not in today that we're looking at. So, it’s a lot coupled with regional variances and store size opportunities is the other big one that we are looking at right now and testing some new ideas. Does that help? 
Neely Tamminga - Piper Jaffray: It does. Thanks. Good luck. 
Michele M. Cloutier - Executive Vice President, Chief Merchandising Officer: Sure thanks. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: And operator, why don’t we take one more question? 
Operator: And this morning’s final question will come from the line of Dana Telsey with Telsey Advisory Group. 
Dana Telsey - Telsey Advisory Group: Good morning everyone. Given that you have talked about increasing the size of the stores whether it’s Soma or whether it’s core Chico’s. What categories do you see being put in there in order to generate higher margins? How do you see the average transaction yielding from the higher stores and what you are putting in? Thank you. 
Scott A. Edmonds - President, Chief Executive Officer, and Director: Do you want to carry on with Chico’s because I am anything… increase the size of some stores really. 
Michele M. Cloutier - Executive Vice President and Chief Merchandising Officer: So, Dana, just in terms of store size, as you know we go from 1,800 to 7,200 square feet currently. So, big variation in terms of size and what opportunities we might have will obviously be expressed in the largeness of our square footage stores. We see categories of business that could be over emphasized that we are currently working on right now. And we see new opportunities as well as presentation of goods and expanding certain presentation to really give a very strong clear message of some of our larger square footage stores. So, that’s what we are currently looking at. 
Dana Telsey - Telsey Advisory Group: And when will that… when do you see that coming into play is that a 2008 initiative? 
Michele M. Cloutier - Executive Vice President and Chief Merchandising Officer: A little bit now as Scott opened up. We tested a visual presentation that will be able to rollout to a certain number of test stores that we are working on right now to get out there as quickly as possible in the next… definitely by Q4. In ’08, you will see some new product opportunities that we will be venturing into. 
Dana Telsey - Telsey Advisory Group: And is this also applicable to White House | Black Market? 
Scott A. Edmonds - President, Chief Executive Officer, and Director: No, not yet. I mean Donna’s third week. So she’s got to get her arms around the business, Dana, and take it… 
Charles J. Kleman - Chief Financial Officer and Executive Vice President, Finance: In those stores, we just brought up to the size that they should have been in the first place. 2600 square feet is very thick. That’s a very small store in any event its all about visual presentation right now for White House | Black Market. 
Dana Telsey - Telsey Advisory Group: Thank you. 
Charles J. Kleman - Chief Financial Officer and Executive Vice President, Finance: Okay. And thank you very much for attending our second quarter conference call. We will see you in about three months for the next third quarter conference call. Thank you very much. 
Operator: Ladies and gentlemen, this does conclude this morning’s Chico’s second quarter earnings result conference call. You may now disconnect.